Operator: Good morning, and welcome to The J. M. Smucker Company's Fiscal 2026 Third Quarter Earnings Question-and-Answer Session. This conference call is being recorded. [Operator Instructions] I will now turn the conference call over to Crystal Beiting, Vice President, Investor Relations and Financial Planning and Analysis. Thank you. You may begin.
Crystal Beiting: Good morning, and thank you for joining our fiscal 2026 third quarter earnings question-and-answer session. I hope everyone had a chance to review our results as detailed in this morning's press release and management's prepared remarks, which are available on our corporate website at jmsmucker.com. We will also post an audio replay of this call at the conclusion of this morning's Q&A session. During today's call, we may make forward-looking statements that reflect our current expectations about future plans and performance. These statements rely on assumptions and estimates, and actual results may differ materially due to risks and uncertainties. Additionally, we will use non-GAAP results to evaluate performance internally. I encourage you to read the full disclosure concerning forward-looking statements and details on our non-GAAP measures in this morning's press release. Participating on this call are Mark Smucker, Chief Executive Officer, President and Chair of the Board; and Tucker Marshall, Chief Financial Officer, Executive Vice President, Frozen Handheld and Spreads and Sweet Baked Snacks. We will now open the call for questions. Operator, please queue up the first question.
Operator: [Operator Instructions] Our first question comes from Andrew Lazar with Barclays.
Andrew Lazar: Mark, I'm curious, maybe in your discussions thus far with Elliott, I'm curious where maybe you are seeing the most common ground and where maybe the biggest opportunities are going forward? Is it potentially in more aggressive portfolio optimization? Or maybe should we be thinking more on the cost side and sort of capital allocation front?
Mark Smucker: Thanks, Andrew. The engagement with Elliott is recent and has actually been very constructive. We've had a number of meetings with the folks there. And largely, what they see is what many of you already know, we're a great company with strong brands. And there's really good alignment between what they're seeing and what we are seeing, focusing on continuing operating improvements, which will lead to profit restoration over time, continued portfolio management in the near term, focusing on organic growth, also disciplined capital allocation. And then lastly, governance. And as you know, we do and have continued a pretty consistent Board evolution over the last 5 years. And these 2 recent additions of Bruce Chung and David Singer will further that governance. And in particular, making sure that we have the right support in terms of how we're thinking about capital allocation and our financial priorities. So really feel very good about where we are in the conversations with Elliott and very confident that we have both the right Board and the right team to continue to drive our strategy and the growth of the company.
Andrew Lazar: Great. And then you already discussed, I know some of the change in promotional strategy in Sweet Baked Snacks at CAGNY last week. But maybe I'd love to dig in just a little bit further on sort of what you're really trying to accomplish with this move and maybe what you're hoping to learn about the business through this action.
Mark Smucker: Sure, Andrew. I mean, again, we are going to continue to focus on stabilizing the brand and return Hostess to growth over time. That includes strengthening the portfolio. As you know, we've done some SKU rationalization, really staying focused on the icon brands of cupcakes, Twinkies and Donettes. Continuing to, as I just mentioned, improve operations, which will ultimately lead to improved profitability. And then just taking a prudent approach to the investments in Sweet Baked Snacks to ensure that we're balancing both top and [indiscernible] top line stabilization and profit improvement. And of course, we did take an updated assumption of 2% growth trajectory going forward, but we are continuing at this time just to stabilize the business.
Operator: Our next question comes from Peter Galbo of Bank of America.
Peter Galbo: Mark, maybe just to dovetail off of that. I noted in the profile on Bruce specifically, just his background in M&A. So just the thought process there of his experience, whether that could maybe accelerate a more portfolio reshaping? And then just like how you would think about use of proceeds? I think in the past, again, we know that the debt paydown piece. But in the past, as you parted with businesses, you've been willing to kind of return that in the form of share repurchase and just how that whole framework is entering your minds.
Mark Smucker: Sure. Yes. We've been in conversations with Bruce for some time and just feel very good about his financial acumen. And as it relates to the portfolio, as you know, we've been very consistent over the years in making sure that all of our shareholders understand that we always are reviewing our portfolio. We really like our portfolio because of the diversity, obviously, pet and coffee and then food and snacking. We have -- we play across multiple categories. So the diversity does give us optionality. And as we've been very disciplined over these past years in reshaping our portfolio, that's something that we will continue to think about as we move forward.
Tucker Marshall: Peter, as it relates to use of proceeds, we would just acknowledge historically, we've used proceeds from divestiture activity to either pay down debt or to repurchase shares. As we continue on our path to 3x leverage or below by the end of next fiscal year, that enables the opportunity to consider share repurchases again.
Peter Galbo: Great. And Tucker, maybe just to pivot to the business and coffee specifically. I think at CAGNY, you had some remarks about near-term margin improvement that was predicated on some of the deflation in green coffee costs. You have a peer who obviously participates in the space that kind of talked about a recovery in some of the profit metrics in like the second half of calendar '26. And I know your fiscal is a bit different, but maybe you could put some guardrails around how you're thinking about that coffee deflation entering the P&L from a calendar '26 perspective?
Tucker Marshall: Sure. Peter, the outlook for our coffee portfolio is positive. It starts with the resilience and the strength of the category and also the performance of our brands. And we don't disclose our hedging or our cost position, but we do hedge for flexibility to support annual profit delivery. And we would just share that, as we mentioned at CAGNY, deflation benefits both the absolute profit dollar and the profit margin percentage. And additionally, we will be lapping the impact of tariffs. And so we would anticipate profit and margin improvement as we move forward. And in the fourth quarter of this fiscal year, we would expect a mid-20s segment profit margin. And so hopefully, this continues to inure to the benefit of the portfolio and the profitability of the portfolio.
Operator: Our next question comes from Peter Grom of UBS.
Peter Grom: Great. So I was hoping to get some perspective on the top line trajectory. Maybe first, as it relates to Sweet Baked Snacks, you touched on some of the drivers around the 4Q low double-digit decline. But I'd be curious how we should be thinking about fiscal '27 in the context of this exit rate. Would you anticipate some of the changes you're making to drive stronger growth? Or is this kind of low double-digit decline a fair run rate as we move into the first half of next year?
Tucker Marshall: Yes, Peter, I certainly appreciate the question, particularly as it relates to the growth trajectory on Sweet Baked Snacks. I just share that it's early for us to lean into what the outlook is for FY '27. We have acknowledged that our fourth quarter will be a softer quarter for the portfolio, just as it relates to some of the category trends that it's navigating, but also as it overcomes a temporary disruption associated with a plant or manufacturing fire. And so I would just sort of think through that we continue to advance the stabilization efforts across that portfolio to improve our share of market performance. We've obviously worked through some of the SKU rationalization efforts. We'll continue to improve profitability across that portfolio. We'll begin to see the benefits of our recent plant closure, the Indianapolis facility, and we'll continue to look toward advancing growth over time. But this continues to be a journey as we navigate the stabilization of this portfolio.
Peter Grom: Awesome. And then I guess just a follow-up on coffee. There was some commentary earlier this week from one of your peers on some retail inventory dynamics happening in pods that they are expecting to impact their growth in the first half of the year. So is this a dynamic that you are seeing or contemplating in your guidance?
Mark Smucker: No, Peter. We haven't seen any abnormalities in terms of inventories on coffee. Our coffee business continues to perform very well and obviously delivered great growth on Bustelo, and we'll continue to do the right thing for our coffee business.
Operator: Our next question comes from Robert Moskow with TD Cowen.
Robert Moskow: I was hoping to drill down even further into the coffee pricing strategy and maybe ask you to delineate between ground coffee and the single-serve pods. As your costs come down, would it be fair to say that the giveback on pricing would be more on the ground coffee than it would be on the pods just because of how it plays out on a percentage of cost of goods?
Tucker Marshall: Yes, Rob, I think it's early for us to talk about sort of the magnitude of deflation and its implication to pricing. But as you know, roast and ground is a greater percentage of coffee in the can as compared to in a single-serve K-Cup. And so we'll continue to navigate the level of deflation and how we address deflation in our portfolio as we move forward. But I guess I would just leave it there.
Mark Smucker: Rob, it's Mark. The only thing I would maybe just build is that we've been pretty consistent over the years, highlighting that the profitability and the margins across the coffee portfolio are generally similar.
Robert Moskow: Okay. And can I ask a follow-up on Hostess and Sweet Baked Snacks in general? Since you bought the business, a lot of the management team and probably the next layer level down has left the business. And I'm just wondering, like do you think that you need to make a bigger investment in talent or capabilities in order to stabilize the business? And has that -- have those departures, do you think contributed to some of the weakness in the division?
Mark Smucker: No, Rob. I'm very confident that we have the right team in place on Hostess, some of the best and brightest. I think what we're navigating is both the category dynamic and then just, as Tucker mentioned, just some operational challenges that we've had. We are through the Indie closure, which, as you know, was a bit more costly than we had anticipated, but that is largely behind us. And so our focus now is to maintain and improve the operating efficiencies and then to continue to make prudent investments on those parts of the branded Hostess portfolio that are truly going to help to stabilize the business and then ultimately get us back to some growth.
Operator: Our next question comes from Thomas Palmer of JPMorgan.
Thomas Palmer: I think my questions are not going to be totally different than the 2 topics we've addressed so far. But just first on Sweet Baked Snacks. I think a quarter ago, the message was that the earnings pressures would be greatest in the second quarter, and then we'd see sequential improvement. So what really -- I know there's the plant fire in 4Q, but what really were the incremental items to think about in 3Q that drove the weakness? I know you've mentioned the plant closure. Was that it? Or were there other items to really consider? Because I'm trying to think through the ultimate recovery here and kind of how much is simply volumes need to reverse versus you have kind of a clear line of sight operationally.
Tucker Marshall: Yes. Tom, what we would offer in our third quarter is top line did come in below our expectations, largely due to category trends, some of our own execution. And then I would also share that our bakery network costs came in much higher than we anticipated. And those 2 things really worked against the profit expectation of sequential improvement as we move through this fiscal year. And I would just say that our fourth quarter should be better, but it will absorb the impact of the fire in the month of February, both at top line and bottom line.
Thomas Palmer: And on coffee, and I apologize if I missed this, you have been providing some kind of clear guidance over the expected coffee impact in fiscal '26. I think last time, it was -- and even last week, you were discussing a $0.50 unmitigated tariff headwind. And then coming out of the second quarter, the coffee elasticity was expected to be a $0.40 headwind. Just any update on these items expected impact now as we think about fiscal '26? And especially when it comes to the tariff headwind, is that an item we should essentially think about reversing in full as we look at next year, given it's unmitigated?
Tucker Marshall: Yes, Tom. So a couple of parts to break down there. Let's begin with tariffs. So we did call out a $75 million unmitigated tariff impact that was affecting this fiscal year that we would be lapping next fiscal year. So you can add that back to exit segment profit for this fiscal year. Then we would also just acknowledge while we didn't update our elasticity impact in this call, we would just say that elasticities came in better than anticipated in our third quarter, and we continue to take a prudent approach to forecasting elasticities, excuse me, in our fourth quarter.
Operator: Our next question comes from Chris Carey of Wells Fargo Securities.
Christopher Carey: I do want to ask one follow-up on the Sweet Baked Snacks segment, and I promise my other question will be something else. But I think the organic sales in the quarter were pretty substantially below consumption, at least on our data. Why was that? What drove the gap between consumption and what you reported? And I just wonder if we should expect that going forward? And then just connected, when you talk about fiscal '27 being on algorithm or potentially better, within that statement, how are you ring-fencing the Sweet Baked Snacks segment? Because back to Tom's point, obviously, a quarter ago, there were different expectations than what played out. So just trying to understand the cushion in that fiscal '27 statement as it pertains to Sweet Baked.
Tucker Marshall: Yes. So Chris, -- to your first question on Sweet Baked Snacks, I think we saw some timing around operational efficiencies and consumption just as we've navigated sort of the resetting of the bakery network. We've also reset promotional activity in the back half on that business, where we've pulled promotional activity largely in support of them putting it back in to make sure that we're getting the most efficiency out of that spend. And then as you step into next fiscal year, I think it's hard for us to sort of communicate at this time the trajectory of the top line of the business. But we should begin to build back profitability because we're at such a low watermark at this point in time.
Christopher Carey: Okay. In the Pet segment for the quarter, you were lapping some headwinds from the year ago period in the top line. How should we think about the performance for Pet in the quarter? I think it came in a bit light of expectations. Perhaps those expectations were a function of that compare in the base period. So I wonder if you could just maybe contextualize how you all felt about delivery in the quarter and whether there were any shortfalls relative to your own expectations?
Mark Smucker: Sure, Chris. It's Mark. Overall, very pleased with the Pet performance. I think Meow Mix continues its growth trajectory, still the #1 leader in dry, solid consumption, 5% top line growth in the quarter. Innovation is performing well. The Gravy Bursts platform that we've launched has done well, and we're actually expanding that with some new items. Milk-Bone specifically did start to grow again in the quarter, which is what we wanted to see. It was supported by base biscuits. We did see some decent growth in base biscuits, which is important. And then the innovation there with the Peanut Buttery Bites platform, and we talked about a new iteration of that innovation at CAGNY. That innovation continues to perform well. The tail of the pet business, which is Pup-Peroni and Canine Carry Outs continues to be soft, largely driven by competition and private label. But we have begun a brand refresh on Pup and continue to invest in marketing to support the business, and we do see strong loyalty there. So we think that will take time. But just keeping in mind that our focus on dog snacks will continue to be on Milk-Bone and in that brand specifically playing across multiple segments, both premium to value and different need states for dogs. So Milk-Bone will continue to be sort of the crown jewel, and we'll continue to focus there and continue to drive growth as we seek to stabilize the Pup-Peroni business.
Operator: Our next question comes from the line of Max Gumport of BNP Paribas. Please proceed.
Max Andrew Gumport: I've got one more on Sweet Baked Snacks to throw in, and it's on the profit side. So I recognize that this year has been impacted by a number of discrete items and also that you brought down the long-term sales growth target for the business. But I felt like you had a clear path to returning to a 20% segment profit margin for Sweet Baked Snacks, if not in 4Q, then sometime soon. So not asking you to put a time line on it. I'm just curious if you have any color you can provide on what you view now as a reasonable normalized segment profit margin for Sweet Baked Snacks whenever you get back to that abnormal period.
Tucker Marshall: Max, I certainly understand the question. And obviously, profitability is below our expectations, in particular in our third quarter. We should see an improvement into our fourth quarter from a profit standpoint. And then as we get to our fourth quarter earnings call, we'll be able to kind of lay out how we see the profit trajectory of the business and also maybe a revised profit margin target to your question. I just think right now, the team still continues to advance its stabilization journey around improving profits, and that's really going to come through how we continue to navigate our bakery environment and manage overall costs.
Max Andrew Gumport: Great. And then on Uncrustables, so it was good to see that the total company business for Uncrustables is growing 10%. I think retail was a bit slower at 6%. I recognize that doesn't have the C-store business being booked under it. But just curious for an update on how you view these trends for Uncrustables and how you're thinking about that business as you are getting close to the $1 billion target for revenue?
Mark Smucker: Max. Uncrustables still feeling great about, of course. Obviously, you highlighted the numbers. It will continue to be a key growth driver for the company. Our distribution gains most recently in Away From Home and C-store having tripled our C-store sales and continuing to add new households on the order of like 3.5 million new households. So the expansion of the brand supported by strong in-store merchandising, consistent marketing, share of voice and then innovation, we believe will continue to drive growth there. And so as the category has expanded, right, and you are starting to see some store brands fill out the section, we remain the leader. And so our job is to continue to bring insights to customers so that we can collectively grow the category and specifically the Uncrustables brand.
Operator: Our next question comes from Megan Clapp of Morgan Stanley.
Megan Christine Alexander: A couple of quick ones from me. On the EPS guide, you kept the guide. It's still quite wide, I think, for this point in the year. I think historically, you've narrowed it a bit with one quarter left. So you narrowed the top line. Can you just talk about the decision to keep the EPS range where it is and whether you're tracking towards one end or the other at this point?
Tucker Marshall: Sure. I think we're just continuing to maintain prudence throughout our fiscal year as we deliver against the midpoint of that guidance range. We feel very confident in achieving the $9 midpoint. And any upside would largely come through your coffee portfolio. But candidly, the coffee portfolio is covering softness that we're experiencing in our Sweet Baked Snacks portfolio. But the balance of the businesses continue in line with expectations. So that was really the reason. We remain confident in the range. We remain most confident at the midpoint.
Megan Christine Alexander: Okay. Great. That's helpful. And then just on the SG&A, I think it's now you're expecting flat to slightly down versus flat prior. Can you just unpack a little bit more what changed there? Is that just efficiencies coming in better than you expected? Or are you pulling back in any certain areas that maybe would need to come back next year?
Tucker Marshall: Yes, Megan, and they're largely driven by efficiencies and just prudent management of spend.
Operator: Our next question comes from Alexia Howard of Bernstein.
Alexia Howard: Can I just follow up on Megan's question just there about the SG&A line? I think in the prepared remarks, you commented that you had lower marketing and distribution spending this quarter, but higher selling expenses. Is that a signal of a continuation of that kind of trend going forward out into next quarter and perhaps out into fiscal '27? Or should we expect some normalization of that?
Tucker Marshall: No, we just had some savings and timing in our third quarter. Again, that supported the overdelivery in EPS. We've essentially locked that into our earnings guidance for the year, but we have some top line softness coming through associated with the Emporia, Kansas fire. And so that's kind of muting some of the savings from a bottom line standpoint. But there's nothing substantial to report in additional savings that will come through our fourth quarter.
Alexia Howard: And then on the pace of innovation, have you quantified recently where you're at in terms of new products as a percent of sales and where you would hope to get to over time? Are you where you want to be on the innovation front now?
Mark Smucker: Alexia, I'm not 100% sure I understood the question. Let me try to answer it and then please come back. It's Mark, of course. Innovation is actually performing very well. We've gotten, as we always do, listening to the consumer, making sure that we understand what their needs are and trying to meet them as quickly as possible. I mentioned some of the pet innovation. Even on Hostess, despite some of the challenges we've had on that business, the innovation there has actually performed well. That's also true in Bustelo, Uncrustables. And a lot of the innovation that we've -- that has been successful is generally closer in innovation as opposed to big bet innovation, and that has really driven growth and helped to support the top line.
Alexia Howard: That's helpful. And the overall pace, the proportion of sales that are coming from new products, is that where you want it to be now?
Mark Smucker: Yes, it's in line, for sure.
Operator: Our next question comes from Scott Marks of Jefferies.
Scott Marks: First thing I wanted to ask about just on the dog snack side of the business. You made a comment in the prepared remarks about the category as a whole rebounding. And just wondering if you can kind of help us understand a little bit about what's going on there and what's changed relative to some prior quarters where you've called out some discretionary spending pressure on the consumer.
Mark Smucker: Sure. Scott, it's Mark. Yes, both of the categories that we participate in pet are doing very well. And in particular, dog snacks has continued to grow. A lot of that growth has been driven by the humanization and premiumization trends in pet. So to the extent, as I mentioned in Alexia's last question, the innovation that has been delivering is delivering against that premiumization concept. In addition, as I mentioned earlier, we have been pleased with the base biscuit performance, which is the more affordable, more value-oriented part of the portfolio. So we -- our strategy is to continue to make sure that we're winning in the different segments within that category and continue to follow both consumer needs and where the growth is.
Scott Marks: Appreciate the color there. Last one for me would just be regarding the Uncrustables business. You made some comments in the prepared remarks just about distribution runway in some of the Away From Home channels, talked about convenience channel. Maybe how should we be thinking about kind of the, I guess, more traditional channels just in terms of distribution runway left versus maybe innovations on shelf? Just trying to contextualize how we should be thinking about maybe velocity improvements versus innovation in some of the larger or more mature channels for that business.
Mark Smucker: Yes. In the traditional U.S. retail channels like grocery and mass, our distribution has expanded over the last year as we've actually gained more freezer space as new capacity came on at our facilities, that enabled our ability to deliver more innovation and meet demand. So at the same time, we were ramping up manufacturing, we were also turning on marketing. So that did drive distribution. I would say, generally, we are everywhere with Uncrustables. And our continued growth is going to be driven largely by innovation, obviously, like these new high-protein sandwiches are doing very well and then continuing to drive household penetration where we still feel there is some runway.
Operator: Next question comes from Steve Powers of Deutsche Bank.
Stephen Robert Powers: Most of my questions, I think, have been addressed. It's been a nice complement today to what you said at CAGNY. So thank you for that. I did have one, I guess, more technical question though on Sweet Baked Snacks. That's probably for Tucker. Specifically, I just want to ask around the decision to start regularly amortizing the Hostess trademark beginning in the fourth quarter. Just maybe you could talk a little bit about the trigger for that. And I guess, over what period of time you're now assuming that brand will, I guess, effectively depreciate.
Tucker Marshall: Yes. So as we have looked across the portfolio and as we continue to evaluate the direction of the Sweet Baked Goods category and our brands and brands in that category, we have slowed the growth rate from our original expectations at the time of acquisition. And now we have a long-term growth rate of 2%. As we've reduced that growth rate, and Mark shared in his comments and also in Q&A, we want to continue to take a prudent approach to how we invest behind that business and those brands and how we allocate resources not only to that aspect of our portfolio, but how we allocate resources toward our broader portfolio. It just came to us that we should begin amortizing that brand over a longer period of time versus it being an indefinite live one. And that's really what we were trying to signal in my prepared remarks here today. So hopefully, Steve, that just provides some additional context.
Stephen Robert Powers: It does. Maybe it will be in the queue, but is there a life -- just a rate, I guess, a time span of depreciation or amortization that we should be thinking about?
Tucker Marshall: Yes. So our outlook for amortization for the full year is now $210 million. That includes the step-up in amortization that begins in the fourth quarter by putting that brand on a life, and we will continue to provide updates as it relates to that amortization as we move forward.
Operator: There are no further questions. I'll pass the call back over to management for any closing remarks.
Mark Smucker: Well, thank you for your time and for joining the call this morning. It was great seeing many of you at CAGNY last week, where we outlined our objectives focused on continuing to advance our long-term growth strategy and furthering momentum of our portfolio of leading brands, improving profitability and earnings growth and continuing a disciplined capital deployment scheme. Our results demonstrate our strategy is working, and we continue to take deliberate actions to advance these objectives. I'm confident that we have the right strategy and leaders in place to create value for our shareholders. And none of this would be possible without our dedicated employees for their unwavering commitment and outstanding talent and contributions. And I would like to thank them for their continued hard work and dedication to our company. Have a great day, everyone.
Operator: Everyone, this concludes our conference call for today. Thank you all for participating, and have a nice day. All parties may now disconnect.